Operator: Good day, and welcome to the NN, Inc.'s Second Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Mark Schuermann. Please go ahead.
Mark Schuermann: Thank you, operator. Good morning, everyone, and thanks for joining with us. I'm Mark Schuermann, Vice President, Treasurer and Investor Relations. I'd like to welcome you to NN's second quarter 2020 earnings conference call. Our presenters this morning will be President and Chief Executive Officer, Warren Veltman; and Tom DeByle, Senior Vice President and Chief Financial Officer. If anyone needs a copy of the press release or the supplemental presentation, please contact Abernathy MacGregor at (212) 371-5999. Before we begin, I'd ask that you take note of the cautionary language regarding forward-looking statements contained in today's press release, supplemental presentation and in the Risk Factors section of the Company's annual report on Form 10-K for the fiscal year ended December 31, 2019, and then filed Company's quarterly report on Form 10-Q for the three months ended June 30, 2020. Same language applies to comments made on today's conference call, including the Q&A session as well as the live webcast. Our presentation today will contain forward-looking statements regarding sales, margins, foreign exchange rates, cash flow, tax rate, acquisitions, synergies, cash and cost savings, future operating results, performance of our worldwide markets, the impacts of the COVID-19 pandemic on the Company's financial condition and other topics. These statements should be used with caution and are subject to various risks and uncertainties, many of which are outside the Company's control. Presentation will also include certain non-GAAP measures as defined by SEC rules. A reconciliation of such non-GAAP measures is contained in the tables in the final section of the press release and the supplemental presentation. Warren and Tom will provide a business update and review our results, and then we will open the line for questions. At this time, I will turn the call over to Warren Veltman, President and CEO.
Warren Veltman: Thanks, Mark, and good morning, everyone. When we conducted our first quarter conference call in May, we indicated that our near-term focus was on four major areas. This morning, I would like to report out on that progress, on the progress that our team has made against those objectives. First, we established a goal of providing a safe work environment for our employees. All our manufacturing locations and offices operate through a standardized approach where employees and visitors have certain predetermined criteria, including temperature checks, before they are admitted to one of our facilities. In addition, we provide personal protection to our employees and have been diligent and maintaining consistent employee communications on best practices to combat the COVID-19 virus. Unfortunately, we have had employees that have contracted the COVID-19 virus. When those situations have occurred, we have implemented our standard protocols, including employee tracing, disinfection of the appropriate areas and production area or facility shutdowns. I would like to thank our leadership and employees for the discipline and the commitment that they have demonstrated in providing a safe working environment – as safe a working environment as possible. A second area of focus was meeting our customer requirements. Although we have instances where facility shutdowns were required, we were able to satisfy our customer volume requirements during the second quarter while maintaining a quality record, consistent with our historical performance and strong reputation. Third, we are focused on flexing our variable costs consistent with any reduction in sales volume and continuing to reduce our fixed overhead, including SG&A expenses. Our Q2 2020 sales were $150.4 million down $71.2 million from Q2 2019 levels due primarily to the impact of the COVID-19 pandemic. A reasonable estimate for our overall variable contribution from decremental sales is approximately 40% on each additional sales dollar. Consequently, we would expect a loss of approximately $28.5 million on this year-over-year sales reduction. Our reported Q2 2020 EBITDA and adjusted EBITDA only decreased $13.4 million and $16.4 million, respectively from the same period a year-ago. The $12 million plus favorable variance from the $28.5 million expectation is the result of a focus to reduce our fixed manufacturing costs and selling, general and administrative expenses. GAAP SG&A expenses decreased from $26.7 million in Q2 2019 to $21 million in Q2 2020, a decrease of $5.7 million, and Q2 2020, reported SG&A includes approximately $2 million of expenses associated primarily with our strategic initiative process. It is encouraging to see the results of our cost-cutting efforts reflected in our financial performance and our management team continues to focus on areas where we can better control costs without sacrificing service. A recent example was the appointment of Grant Thornton as our independent auditor during the second quarter. Grant Thornton has an excellent reputation for quality, and we expect that NN will experience a significant reduction in our annual audit-related service fees as a result of this new professional relationship. It is also important to note that our employees have been true partners during this belt-tightening process. Our hourly teammates have experienced layoffs and reduced working hours as a result of significant customer volume reductions, while our salaried personnel continue to work at reduced wages. In addition, all gain-sharing and 401(k) matching contributions remain suspended. I appreciate the commitment that our employees have made to NN during this difficult time. The fourth goal that we discussed last quarter was to fortify our liquidity position. We increased our cash position from $79.2 million at the end of Q1 to $82.7 million as of June 30 due primarily to the generation of $1.3 million in free cash flow during the second quarter. Our focus on liquidity was in three primary areas: maximizing our operating performance on lower sales volume, which I previously discussed, improving our working capital, which was down $30.7 million from a year-ago, and working with our lenders to provide additional flexibility under our credit facility. Our working capital has reduced to the significant sales reduction during the second quarter. We have been able to remain at a reasonable days sales outstanding at 64.1 day during a period where many of our customers had desires to extend payment terms to maintain their own liquidity positions. Our inventory turns deteriorated during the quarter due to the time necessary to adapt to the significant lower sales volumes. Tom will provide more detail on this in his presentation. As it relates to our credit facility, we recently signed an amendment to our credit agreement, which waives the existing leverage covenants for the second and third quarters and replaces it with a minimum liquidity covenant. We expect that this amendment will provide us the flexibility needed to continue our strategic initiatives process over the next five months, if necessary. The strategic initiatives process is ongoing and is incorporated in an evaluation of a broad range of operational, financial and strategic options with the goal of reducing leverage and enhancing shareholder value. As we have said before, we have a great company and really good businesses, and moreover, our organizational structure allows for good flexibility as we continue our strategic review in order to enhance shareholder value. This is the extent of our comments regarding this process. As always, we appreciate your understanding and patience as we continue to pursue alternatives associated with this important initiative. Turning to Page 5, you can see that the impact of the COVID-19 virus had on our sales for the second quarter and year-to-date. On a consolidated basis, total revenue decreased 32.1% versus the prior year due primarily to issues associated with the coronavirus pandemic. Sales for our Life Sciences group were up 20.7% due primarily to the delay in elective orthopedic surgeries, especially those related to large joint replacement. Our Mobile and Power groups were negatively impacted by 48.3% and 27.1% respectively due to the significant number of automotive OEM facility shutdowns and lower demand for electrical components due to customer shutdowns in Mexico. These same issues have caused company-wide sales for the six months ended June 30 to be down 19.5%. For the six-month period, Life Sciences sales were up prior year by 11.8%, Power Solutions was up 17% and Mobile Solutions was up 20.6%. Now I'd like to turn it over to Tom DeByle. So Tom can provide a more in-depth review of our financial performance for the quarter. Tom?
Thomas DeByle: Thank you, Warren. Please turn to Slide 6, which includes our second quarter results on a GAAP, non-GAAP excluding special items and total adjusted non-GAAP basis. The special items include one-time unusual expenses and the integration non-op items are expenses related to the number of acquisitions and integration activities made over the past few years. A couple of points on the slide. The sales shortfall year-over-year related to the pandemic had a negative impact on our financial results. Despite the sales shortfall, we were able to flex the business due to the cost-cutting activities, Warren had mentioned in his opening remarks. It really shows that we were controlling our costs in a very difficult environment. The second point on this slide is that despite the sales shortfall, we were able to hit double-digit EBITDA margins on a reported non-GAAP excluding special items and a total adjusted non-GAAP basis. Let's go to Slide 7, which provides a detailed bridge between reported GAAP, non-GAAP excluding special items and total adjusted non-GAAP. Let's focus our attention on the upper portion of the bridge. There were three tax affected special items in Q2 2020, and asset write-down of $0.7 million, Fairfield move costs of $0.3 million as we sold a facility, and $0.6 million for severance agreements. Two items impacted the second quarter tax expense. First, the NOL carryback provisions with the CARES Act provided a favorable impact of $1.8 million and the second, the unfavorable annual tax rate impact of the prior quarters non-deductible goodwill write-down impacted the tax precision by $4.7 million. In the prior year quarter, there were four tax affected special items, consisting of $0.3 million of asset write-down, Brazil VAT of $0.2 million, severance of $0.9 million and divested businesses of $0.6 million. Now let's turn our attention to the lower section of the bridge. The tax affected non-operational adjustments relating to capacity and capabilities development, professional fees, and integration and transformation were down $1.4 million year-over-year. Tax affected FX on intercompany reduced by $0.3 million year-over-year, and amortization of intangibles was down $0.3 million year-over-year. Turning to Slide 8. Net working capital at the end of the second quarter was $182.9 million compared with $213.6 million in the prior year, a decrease of $30.7 million. Working capital turns were 3.3 turns versus 4.2 turns in the prior year. The decrease in working capital turns related to the sales sharp fall due to the pandemic. DSO increased versus prior year by 1.8 days, inventory turns decreased by 1.4x and the accounts payable days decreased by 0.7. We expect working capital turns to improve as volumes normalized in the next few quarters. Please turn to Slide 9. Net debt at the end of the second quarter was $767.9 million versus $862.1 million in the prior year, a decrease of $94.3 million. Cash increased by $60.6 million as we increase the borrowing on our revolver. During the quarter, we amended our credit facility as Warren had mentioned. Leverage covenants waived for Q2 and Q3, the amendment requires a minimum cash balance measured at month end and a minimum daily cash balance. The amendment allows us time for the businesses to recover due to the pandemic and continue our strategic review process. Although we have made good progress to improve our liquidity and implement cost reductions during the quarter, our 10-Q will show us as a going concern given the uncertainty in the economic environment. Slide 10 shows our free cash flow for the quarter. Free cash flow was $1.3 million in the second quarter 2020 compared to a cash use of $7.8 million in the prior year, a significant improvement. Year-to-date free cash flow is $0.2 million versus a cash use of $24.6 million in the prior year, again a significant improvement. As mentioned on the bottom of the slide, it is the fifth consecutive quarter of positive net cash provided by operating activities. Slide 11 shows our capital spending, depreciation and amortization trends. Cash capital expenditures were $4.4 million or 2.9% of sales for the second quarter compared to $14.9 million or 6.7% of sales in the prior year. Year-to-date capital expenditures were $15.6 million or 4.5% of sales versus $29 million or 6.7% in the prior year. The company anticipates capital spending to be in the range of about $30 million for 2020 in response to COVID. With that, I'll turn the call back to Warren.
Warren Veltman: Thanks, Tom. We have presented additional information for each of our operating groups starting with Life Sciences on Page 13. As I indicated previously, Life Sciences' Q2 revenue has been impacted by 60% reduction in elective orthopedic surgeries when compared to 2019. As a result, we have also seen a reduction in our backlog from $163 million at March 30, 2022 to $142 million at the end of the second quarter. In spite of the significant sales reduction, our reported EBITDA and adjusted EBITDA were 22.4% and 25% respectively. Cost reduction efforts implemented in reaction to the sales impact help to offset the contribution loss from reduced sales. We currently expect that our volumes of the remainder of 2020 will be flat to slightly down when compared to our second quarter results as our customers continue to react to reduce elective surgeries and focus on reducing inventory levels. A normalization of elective surgery demand to 2019 volumes is not expected to occur until sometime in Q2 2021. We will continue to focus on flex productivity and cost control over the remainder of this year. The Mobile Solutions business summary is included on Page 14. The Mobile Solutions group was hardest hit by the coronavirus pandemic in Q2 as OEM manufacturers in North America and Europe were shutdown during most of April and May, causing a 48.3% reduction over the prior year levels. June saw an improvement in sales as they rebounded to be over 50% greater than May levels. Despite a $38 million reduction in sales, the group posted positive GAAP and adjusted EBITDA of 9% and 10% of sales, respectively. The reduced variable contribution margin from lost sales was offset by approximately $6 million in indirect and SG&A wages and related benefits along with significantly reduced travel costs. As we discussed last quarter, we expect that volumes will remain below capacity for the remainder of 2020. We currently expect that our China operations will perform at normalized volumes, North America will strengthen further at the beginning of Q4 and our European and Brazilian operations will experience reduced volumes due to COVID. Overall, we expect sales for the balance of 2020 to be approximately 50% greater than our Q2 running rate. Our focus in Mobile Solutions will be on CapEx containment, working capital management and flex productivity. Moving on to Power Solutions on Page 15. Power's second quarter sales decreased 27% year-over-year due primarily to lower sales caused by COVID-19, including the closure of customer facilities in Mexico for four to six weeks and delayed customer approvals for certain aerospace and defense programs. Power reported actual EBITDA of $5.8 million or 15.4% of sales and adjusted EBITDA of $6.2 million or 16.5% of sales. Both were down from prior year levels due to reduction in sales. During the first two months of Q2, Power experienced unfavorable variable margin performance versus our internal expectations caused by production shutdowns and employee absenteeism due to COVID. Our variable margin performance improved during June 2020 and we expect that trend to continue through the balance of 2020. On the sales side, we expect that Q3 and Q4 sales will stabilize at level slightly below those experienced in Q1 due to an improved backlog of aerospace and defense business and improves stability in the demand for our electrical components. As with other groups, our power management team will be focused on flex productivity, working capital management and cost reduction. Based on my commentary surrounding each of our three groups, we expect company-wide sales to improve over Q2 levels due to expected improvement in sales for both the Mobile and Power groups. Obviously, the uncertainty that associated with the COVID pandemic will continue to have a dampening effect on each of our three business groups through the remainder of 2020, causing our view of Q3 and Q4 sales to be approximately around the midpoint between Q1, which was slightly impacted by COVID and Q2, which was significantly impacted by the COVID pandemic. Page 16 summarizes the goals that we have been operating too and that remained significant objectives for the remainder of 2020. Safety of our employees and satisfying our customer requirements will remain of obvious importance. We will continue to adjust our variable costs with sales fluctuations and more to reduce our fixed and SG&A expenses. Improving our cash flow and maintaining our liquidity in these uncertain times is our major priority. Key tenants of that objective are reducing capital expenditures and working capital. Inventory will be a major focus in the second half as we believe we have opportunities to reduce work-in-process and finished goods based on our current inventory turn metrics. Although a reduction in WIP and finished goods could result in lower earnings due to under absorbed manufacturing burden, we believe the tradeoff for increased liquidity is a positive. Lastly, we will continue to manage our cash position to our second half plan in order to comply with the liquidity requirement in our credit facility. That concludes our prepared remarks, and I will now turn the call back to the operator for questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Rob Brown from Lake Street Capital Markets. Please go ahead.
Robert Brown: Good morning.
Warren Veltman: Good morning, Rob.
Robert Brown: First question is around sort of – you gave some pretty good color on the Mobile and the Power in particular in terms of some visibility, but – or outlook. How is the visibility in those markets? Is it getting better sort of daily, day-to-day? Just a sense of kind of what you're seeing in those markets and how sort of confident you are in the visibility at this point, which I'm sure is not great, but just want to get a sense of where you're at there?
Warren Veltman: Yes. Rob, I gave some guidance as it relates to what happened in June. In a couple of cases, in the Mobile case, as an example, we saw a significant uptick in the June period that was actually 50% greater than what we saw from sales volumes in May. So from a trend standpoint, it's going in the right direction. As it relates to our outlook, I gave our view of that as it relates to the reliability of that. Normally, at least on the Mobile side, the OEMs tend to have a pretty strong structure as it relates to their production schedules. So at least in the short-term in a four to six-week window, we feel relatively comfortable with the forecast. As I probably talked about in the past, we also work – we established our sales forecast based off a couple of factors. One is what we're seeing from the customer as it relates to the leases that we get that are firm – either firm or planned within a 12-week window. And then we also use IHS data as it relates to what IHS is predicting from a macroeconomic environment as it relates to overall automotive sales. If we try and pair that and match that up with what we're seeing from the customer in order to get a balance in our forecasted outlook. As it relates to the Power side, we use some of those same types of methodologies with using our customer demand and then try and understand what's going on in the construction and housing markets and on an overall basis within the economy to balance out our forecast from an expectation standpoint.
Robert Brown: Okay. Thank you. That's great color. And then on the margin kind of profile, you did a pretty good job of maintaining the gross margin profile, but how do you sort of see that? Do you expect that to grow or just sort of stabilize here given your cost reduction efforts and ability to grow depends on revenue growth, which is maybe directionally on the gross margin, and what's your costs?
Warren Veltman: Yes. As we expand – as the sales expand over Q3 and Q4 as I indicated, I think that what we'll see is an improvement in the margins over Q2. As I indicated early in my comments, we – kind of a rule of thumb for us, when we see an incremental sales dollar, we start to associate 40% of that falling into our gross margin. And given the fact that the company has been very successful, our teams have done an excellent job of taking fixed costs and selling, general and administrative expenses out of the business, we expect the majority of that to carryover into the future. Now just as a caution on that, we have had reduction in wages, but our hope is that once we see a more firmer footing on the recovery in the economy, we hope to restore some of the wage cuts that we've put in place in the April, I think April timeframe. Our preference would be to do that sooner rather than later. So that will – that would pull back the margin just a little bit. But I would tell you that the impact from a 40% contribution margin on incremental sales, our view is we will offset that.
Robert Brown: Okay. Great. Thank you. I'll turn it over.
Operator: Thank you. We will now take our next question from Daniel Moore from CJS Securities.
Daniel Moore: Warren, Tom, good morning. Thanks for taking questions.
Warren Veltman: Good morning.
Thomas DeByle: Yes. Good morning.
Daniel Moore: Great color on Life Sciences and understood as it relates to what's going on in elective surgeries. But I hear correctly, I guess, you'd expect Q2 to be the first opportunity – Q2 of next year to be the first opportunity to get back to pre-COVID levels. Is that the thought process at this point?
Warren Veltman: Yes. And the way that we look at it that's when elective surgeries would essentially rebound to the 2019 levels and based on our relationship with our customers, we typically – our volumes kind of crop up shortly thereafter. So we may have a one quarter lag to that as it relates to the resurgence in the Life Sciences business volumes.
Daniel Moore: That's helpful. And then at this stage from a longer-term perspective, as we look at 2022 and beyond, what would be the expected growth rate for the market as well as for NN in that segment?
Warren Veltman: Yes. Our longer-term view is that the second half of 2021 will be a return to 2019 types of volumes. What we've seen in this process, dealing with the COVID pandemic is some of our customers are looking at the timing of how they were going to introduce some new programs, which is always a positive for our business as it relates to inventory fill. They're looking at potentially deferring the implementation of some new programs in order to conserve their liquidity and their CapEx, which would soften the recovery just a little bit for us. So as we look at 2022, we see that as a full return to volumes above where we were in 2019, and then probably a 7% or 8% annualized growth rate thereafter.
Daniel Moore: Got it. Helpful. And then don't want to push you on the process itself. But can you comment on your ability to conduct the strategic review over the last three months given COVID-19 and where that ability stands today?
Warren Veltman: Yes. I'm not going to get too deep into the process. I just will tell you that certainly it's been a challenge with the COVID and where the financial markets have been. Obviously, that's a big component of trying to work on a process like this. So it's been a challenge and that's one of the reasons that it's been such an extensive process.
Daniel Moore: Understood. I think, that’s it from me. I'll jump back with any follow-up. Thank you.
Warren Veltman: Thank you.
Operator: [Operator Instructions] We will now take our next question from Steve Barger from KeyBanc Capital Markets. Please go ahead.
Stephen Barger: Good morning, guys.
Warren Veltman: Good morning, Steve.
Thomas DeByle: Good morning, Steve.
Stephen Barger: Good to see positive free cash flow year-to-date. Just can you talk to the segments in terms of cash burn or cash generation in 2Q. Just to give us a sense for how you were able to manage the business in the trough quarter and just broadly, what do you expect for the back half?
Warren Veltman: On a segment-by-segment basis, I think you take a look at the EBITDA that each one of our groups has been generating and then the CapEx associated with it. So I would tell you that in each individual case, our groups I think did a good job as it could be done in the second quarter and managing our cash flow. And the most important components that they manage with our corporate team is CapEx and working capital. And you can see from the results that we've had that our capital expenditures are down significantly from the historical runway. So we indicated last quarter that we had an extreme bias towards only spending maintenance type of CapEx and that has been the focus of the team. And I think that we've done a good job on that. From a working capital standpoint, our view is that each one of our groups can do a better job on the inventory side. We've seen our inventory turns go down. And part of the reason for that is the inability to flex some of the orders that we had. Some of the raw material that we order comes from overseas locations. We're ordering directly from the mill in certain cases, and those orders have 10 to 12-week lead times associated with them. So when the volumes dip as quickly as they did from a COVID standpoint, it was difficult for us to react. So when I talk about the fact that we have significant inventory reduction goals in the second half of the year, I think that's true of all of our groups. I know that the Mobile and the Power groups in particular are very focused on the WIP and the finished goods components. And we've targeted a significant reduction there especially in the fourth quarter from a timing standpoint. And the same is true on the Life Sciences side, which actually tends to carry a little bit higher inventory levels than the other two groups. So that's an area that we're going to work on as well. As we look out into the future, we're still going to control the CapEx. That's going to be a big piece of it. As this thing rebounds, we're very cautious as it relates to what the working capital demands on the business will be. I gave you a rule of thumb as it relates to variable costs. The rule of thumb for us on working capital is for – in each group, it's a pretty tight range, I would tell you, between 20% and 23%. But as we look at it to put sales dollars back in place cost us about 20% to 23% from a working capital standpoint against an annualized sales dollar amount. So we're going to be working very hard with our customers to make sure that we're maintaining payment terms. Obviously, there's always pressure there. But I think that as we go through the year, our expectation is we're going to continue. The only thing that would prevent us at this point in time, based on the forecast that we see from a sales standpoint, we still expect to generate some positive cash flow. I don't think it's going to be a lot given the volumes, and the thing that could be realized from that certainly is the working capital and we're going to have to manage that really hard.
Stephen Barger: Right. I think to be able to generate free cash flow this year would be a great accomplishment. As you've looked at how you're managing the business in a crisis situation, are you finding areas where you can make structural improvements, whether it's in working cap or any of the other processes that can improve the cash flow profile of the business going forward?
Warren Veltman: Yes. I would say, yes. And I'm going to go back to a more generalized statement on that. This is a company and three businesses that are built around continuous improvement and getting better every day. So the moment you stop believing that you can improve, it really goes against the core philosophy that the company built around. So our view is that yes, there are significant opportunities for improvement. And a couple of our groups, we've established a targeted percentage of sales where our fixed costs, our indirect labor and some of our other cost drivers need to be, and we're not there yet. And we know that we need to achieve those objectives. From an SG&A standpoint, there's still opportunities for us from a consolidation standpoint. The Mobile and Power group, as an example, are just getting started on what they can do from an efficiency standpoint. Our IT teams are working very hard to try and improve the efficiency of the information that it's delivered to our operating groups and we think we can gain some efficiencies there as well.
Stephen Barger: And shifting to Life Sciences, has the pandemic affected customer willingness to engage in outsourced manufacturing? Or is it slowing and creeps down? Or are you seeing accelerated opportunities for new business? Just how has this changed things, if at all?
Warren Veltman: Yes, I would tell you initially, our customers really went – as it relates to consolidation of the supply base and outsourcing, it was kind of like, let's full stop right now. Let's understand what's going on in our industry, let's understand where we need to set our inventory levels based on this new norm. So there was a suspension of that type of activity for a short period of time. But once everybody had an opportunity to react to the situation and understand it as best we can today, our customers are now reengaging with continued outsourcing and talking to us about consolidation of the supply base. And we expect that that will continue, and probably will pick up a little bit more speed at the beginning of next year.
Stephen Barger: Okay. If revenue in Life Sciences is flat sequentially in 4Q, can you drive some margin increase? Can you improve the decremental margin? And just how would you think about free cash flow for that segment specifically?
Warren Veltman: I would tell you, I'm not targeting – what we do – we actually do target free cash flow by each division. I don't have a number off the top of my head for that right now. I would tell you, like I said, the focus is, as it relates to margin improvement, our expectation is we're trying to drive a full percentage point of sale of improvement through the balance of the year and with the containment of the cash flow that will by default drive free cash flow from that business.
Stephen Barger: Yes.
Warren Veltman: I don't know the exact number off the top of my head.
Stephen Barger: Okay.
Warren Veltman: Tom, do you have any additional comment on that? I'm just going to ask Tom that a second.
Thomas DeByle: No, I don't. I think you hit the points, Warren. I don't have that number off the top of my head either.
Warren Veltman: Okay.
Stephen Barger: And so if 3Q revenue is somewhere between what you saw on 1Q and 2Q, given that sequential increase in your cost actions, first on Mobile, specifically, can you get back to a positive operating margin on a consolidated basis? Can you get back towards the margin level of 1Q? Or is that kind of a bridge too far from a revenue standpoint?
Warren Veltman: I'm trying to remember, first quarter revenue for Mobile...
Stephen Barger: $200 million. Oh, from Mobile, yes.
Warren Veltman: I thought your question was Mobile.
Stephen Barger: Mobile and then consolidated. So yes, let's talk Mobile first. First quarter revenue was $70 million.
Warren Veltman: Yes. So can we get back to that level of margin? I think that given what we're expecting in the second half of the year, probably be a little bit of a stretch because we're going to be below that from an overall sales standpoint. But obviously, we're expecting continued improvement over the balance of the year. And if you look at what we did in the first quarter, yes, with $69.8 million, we're going to be shy of that for the second half of the year. And if you use from a guidance standpoint, some of the sales estimates that I provided and talk about this 40% decremental. You probably have a good estimate of where we think we're going to be.
Stephen Barger: Okay. I think that's it for me. Thanks.
Warren Veltman: Thank you.
Operator: That concludes today's question-and-answer session. Mr. Warren Veltman, at this time, I'd like to turn the conference back over to you for any additional or closing remarks.
Warren Veltman: Yes. Thank you. I'd like to just thank everybody for participating today. My overall view is that our teams did a great job for the second quarter to have positive free cash flow in this environment and to maintain our liquidity position over where we were. And in the first quarter were, I think significant accomplishments. I'd like to thank the whole team for that. And I appreciate the participation of the analysts and some of the shareholders that are listening today. So thank you for that, and have a good day. Appreciate your time.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.